Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to Saratoga Investment Corp.'s Fiscal Third Quarter 2013 Financial Results Conference Call. Please note that today's call is being recorded. [Operator Instructions] At this time, I would like to turn the call over to the company's Chief Financial Officer, Mr. Rich Petrocelli. Sir, please go ahead.
Richard A. Petrocelli: Thank you. I would like to welcome everyone to Saratoga Investment Corp.'s Fiscal Third Quarter 2013 Earnings Conference Call. Before we begin, I need to remind everyone that this conference call contains statements that to the extent they are not recitations of historical fact, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual outcomes and results could differ materially from those forecasted due to many factors, which are described in the company's filings with the U.S. Securities and Exchange Commission. We do not undertake to update our forward-looking statements unless required to do so by law. A replay of this conference call will be available from 11:00 a.m. today through January 22. Please refer to our earnings press release for details. I would now like to introduce our Chief Executive Officer, Christian Oberbeck, who'll be making a few introductory remarks.
Christian L. Oberbeck: Thank you, Rich, and welcome, everyone. In the fiscal third quarter of 2013, our financial strength and growing pipeline enabled us to make another $6.4 million of investments in new and existing portfolio companies. The credit quality of the portfolio continues to improve as we have increased both the amount and proportion of internally-rated strong credits. We also accelerated our investment after the end of the quarter. In December, we invested an additional $29.6 million in 4 new businesses and 1 existing portfolio company. With our growing pipeline, we continue to see and capitalize on opportunities for investment in leveraged loans and mezzanine debt issued by U.S. middle-market companies. I will return shortly with a review of our portfolio, but I would like to now turn the call back over to Rich to review our financial results.
Richard A. Petrocelli: Thanks, Chris. Saratoga Investment Corp.'s net investment income for the fiscal third quarter ended November 30, 2012, was $2.5 million or $0.63 per share. Net loss on investments was $1.7 million or $0.44 per share, resulting in a net increase in net assets from operations of $0.8 million or $0.19 per share. Net asset value per share was $21.75 as of November 30, 2012 or $27.39 before the effect of the December dividend, compared to $27.20 as of August 31, 2012 and $25.94 as of May 31, 2012. The decrease in reported net asset value per share from August 31, 2012 was primarily the result of the $16.5 million cash and stock dividend, consisting of $3.3 million in cash and 853,455 shares of common stock, declared by the company's board on November 9 and paid on December 31. In accordance with GAAP, the number of shares outstanding used to calculate NAV per share as of November 30, 2012 was retroactively adjusted to reflect the additional shares issued in connection with the cash and stock dividend. Our total investment income for the quarter was $4 million, an increase of approximately $400,000 or about 11% compared to the fiscal third quarter of 2012. Our investment income was comprised primarily of $3.5 million of interest income and approximately $500,000 of management fee income associated with the investment in the CLO. Our total operating expenses were $1.5 million during the quarter, and consisted of $530,000 in interest and credit facility expenses; $529,000 in base management fees; $347,000 in professional fees; $129,000 in insurance expenses; $250,000 in administrator expenses; and $172,000 in directors' fees and expenses, general administrative and other expenses, as well as an offset of approximately $423,000 due to the reversal of accrued capital gain incentive fee expense. For the 3 months ended November 30, 2012, total operating expenses compared to the 3 months ended November 30, 2011, were lower by nearly $1.3 million. On November 30, 2012, we had $14.9 million of borrowings under our $45 million revolving credit facility with Madison Capital Funding and $6.3 million in cash and equivalents. As of November 30, 2012, the company's Small Business Investment Company subsidiary had $25 million in regulatory capital and $4 million of SBA guaranteed debentures outstanding. With the $45 million credit facility and up to $150 million in borrowing capacity at the SBIC subsidiary, Saratoga has $195 million of total borrowing capacity. That concludes my financial review. I will now turn the call back over to Chris.
Christian L. Oberbeck: Thanks, Rich. Before we open for questions, I'd like to review the composition performance of our investment portfolio. At the end of the quarter, November 30, 2012, the fair value of the company's investment portfolio was $119.3 million, principally invested in 23 portfolio companies and 1 CLO fund with $402.4 million of assets under management. Saratoga Investment's portfolio was composed of 53.7% first lien term loans; 8.4% second lien term loans; 8.8% senior secured notes; 1.9% unsecured notes; 6.5% of equity interests; and 20.7% of subordinated notes of the CLO. At the end of the 2013 fiscal third quarter, we had no investments in senior unsecured loans. During the 2013 fiscal third quarter, Saratoga Investment Corp. invested $6.4 million in new or existing portfolio companies and had $1.5 million in aggregate amounts of exits and repayments, resulting in net investments of $4.9 million for the quarter. At the CLO, Saratoga invested $16.2 million in new or existing portfolio companies and had $21.6 million of exits and repayments. The company also invested an additional $29.6 million in December with $0.7 million of exits and repayments resulting in net investments of $29 million for the month of December 2012. As of November 30, 2012, the weighted average current yield of Saratoga Investment's first lien term loans, second lien term loans, senior secured notes, unsecured notes and the CLO subordinated notes were 10%, 11.3%, 16.8%, 19.9% and 22.9%, respectively, which resulted in aggregate weighted current yield of 12.9%. The company's new investments during the quarter included $6.1 million in Nolan Technology Group and a follow-on investment in Targis [ph] for an amount of $313,000. Our December investments included Dispensing Dynamics International for $6.9 million; Emily Street Enterprises for $5.9 million; Expedited Travel for $5.4 million; Taco Bueno Restaurants for $9.4 million; and a follow-on investment of Take 5 Oil Change for $2 million. In closing, I would again like to thank all of our shareholders for the ongoing support. We are excited about the growth and profitability that lies ahead for Saratoga Investment Corp., and I would now like to open the call for questions.
Operator: [Operator Instructions] Our first question comes from Troy Ward of Stifel, Nicolaus.
Troy L. Ward - Stifel, Nicolaus & Co., Inc., Research Division: Can you -- I may have just missed this. I know you went through the December originations. Did you say if you -- what prepayments, if you've had any, in the month of December?
Christian L. Oberbeck: It was $700,000.
Richard A. Petrocelli: Less than $1 million. It was $700,000.
Troy L. Ward - Stifel, Nicolaus & Co., Inc., Research Division: Okay. So where does that -- can you speak to the funding of those December investments? Where does that put your leverage at the end of the year?
Richard A. Petrocelli: So at the end of the year, we have approximately $148 million of assets, and we'll have borrowed approximately -- we'll have $20 million of outstanding debentures with the SBA and approximately $26 million outstanding on the Madison line.
Troy L. Ward - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then over to the SBA, so you had 25 -- just looking at the press release. You're at $25 million of regulatory capital and $4 million of debentures at November 30. What are the assets? What is the level of assets that are pledged to the SBA now?
Richard A. Petrocelli: So at the -- at December 31, there was $25 million. And today, it is approximately...
Christian L. Oberbeck: At November 30.
Richard A. Petrocelli: I'm sorry. November 30, it was $25 million. And today it's approximately $38 million -- I'm sorry, it's about $45 million, close to $45 million, a little under $45 million.
Troy L. Ward - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then -- so what is -- are you to the point where you've used all of your regulatory capital that's already been pledged? So in order to draw down additional debentures at this point, do you have to produce more regulatory capital?
Richard A. Petrocelli: No. With -- again, with the -- we invested $25 million. We borrowed $20 million. We can borrow up to another $30 million from that $25 million. So the next $30 million we put to work will be from capital we borrow from the SBA. And then -- so then we'll have $75 million of assets, $25 million of equity, $50 million of debentures. Then going forward, for every dollar we put in, we'll be able to borrow $2 from the SBA.
Troy L. Ward - Stifel, Nicolaus & Co., Inc., Research Division: Right. And then just one last quick one. I can get in from the queue, but can -- what was the amount reversed out for the capital gain expense?
Richard A. Petrocelli: Well, the reverse was about $400,000.
Operator: [Operator Instructions] And at this time, I'm not showing any further questions. I'd like to turn the call back to management for any further remarks.
Christian L. Oberbeck: Okay. Well, we thank you all. As we said before, we're very appreciative of your support. We continue to remain very excited about our opportunities. We had a -- we did have a very good quarter. It's a very good year end. In December, we were beneficiaries of this year end, so there's quite a bit of activity and quite a sense of urgency on a lot of parties to close transactions. We continue to be excited about our pipeline and excited about growing our business, and we very much appreciate your support. Thank you very much.
Operator: Thank you, everyone, for joining us today. We look forward to speaking with you next quarter.